Operator: Greetings and welcome to the Caesarstone Limited Fourth Quarter 2020 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brad Cray of Investor Relations. Thank you. You may begin.
Brad Cray: Thank you, operator, and good morning to everyone. I am joined by Yuval Dagim, Caesarstone's Chief Executive Officer; and Ophir Yakovian, Caesarstone's Chief Financial Officer.  Certain statements in today's conference call and responses to various questions may constitute forward-looking statements. We caution you that such statements reflect only the company's current expectations and that actual events or results may differ materially. For more information, please refer to the risk factors contained in the company's most recent annual report on Form 20-F and subsequent filings with the SEC.  In addition, on this call, the company will make reference to certain non-GAAP financial measures, including adjusted net income loss, adjusted net income loss per share, adjusted gross profit, adjusted EBITDA and constant currency. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the company's fourth quarter 2020 earnings release which is posted on the company's Investor Relations website.  Thank you. And I would now like to turn the call over to Yuval. Please go ahead.
Yuval Dagim: Thank you, Brad, and good morning, everyone. Today, we issued our fourth quarter results, marking a successful close to a very dynamic year for Caesarstone. Q4 results demonstrated a significant progress in streamlining our business during 2020 as we further executed on our business transformation. Since the onset of COVID-19 pandemic, we have prioritized the health and safety of our employees and we'll continue to do so. We are especially grateful for our team members who remain focused in executing the initiatives under the Global Growth Acceleration Plan through this challenging period. The progress we have made since we announced the Global Growth Acceleration Plan has allowed us to build the foundations for global operating platform and to launch new growth engines while improving our competitive power in the market as a premium, multi-material countertop company.  Last quarter, we discussed the 3 strategic pillars that are integral to unlocking Ceasarstone's potential, which are, a premium multi-material offering, customer experience and engagement, and global footprint expansion. Our commitment to excellence and strong working capital management during the year provided us with the flexibility to make significant progress on many of the projects under each strategic pillar.  In 2020, we introduced accretive M&A as a new avenue to accelerate the implementation of our strategic objectives. Our strong financial position supported the recent and successful completion of the 2 accretive acquisitions; Lioli Ceramica, a producer of cutting-edge porcelain slabs; and Omicron Granite & Tile, a premier stone supplier in the U.S.  As it relates to our strategic pillars, Lioli has expanded our addressable market beyond quotes allowing Caesarstone to become a leading premium, multi-material countertop company. Our objective of global footprint expansion also incorporates our goal to provide better service to our customers while at the same time, improving our logistical efficiency. The acquisition of Omicron is directly aligned with this pillar by allowing us to leverage a vertically integrated approach to enhance our go-to-market capabilities in the U.S. Omicron augments Caesarstone's existing network with strategically located distribution centers throughout attractive U.S. markets, providing us the best to increase market share with more direct approach to our end markets.  One of the innovative initiatives under the Global Growth Acceleration Plan is a technological leap in the avenues through which we communicate and connect with our customers and consumers to further differentiate Caesarstone by creating a step change in the way we approach customers experience and engagement. At this point, we recently test launched a platform called CS Connect in our Australian markets. CS Connect is an easy-to-use digital platform that enhances our CRM capabilities for both our K&B and fabricator partners to help them more effectively manage the consumer purchase journey. We believe that CS Connect will increase our customers' sales conversion rates and drive higher customer satisfaction. In doing this, we are strengthening our network of partnership to better position Caesarstone to win over the long term.  Additionally, the recent revamp of our North American website aims to elevate consumer engagement and activity, and we have received great feedback so far. We now enter 2021 as a much strong company and with the right foundation in place to more effectively leverage Ceasarstone world-class brand to pursue sustainable long-term growth. While the immediate global economic outlook and continuing impact of the pandemic remain uncertain, our strong financial position and clear strategy give us the confidence to continue executing on our plan. Our 2020 achievements have proven our ability to execute under challenging market conditions. With our dedicated focus on driving improvement in results, we are well situated to capture additional market share in quarters and years ahead.  I will now turn the call over to Ophir, who will provide details on our results and outlook.
Ophir Yakovian: Thank you, Yuval, and good morning, everyone. I will start by discussing our fourth quarter results. For the fourth quarter of 2020, global revenue grew 2.3% to $136.9 million compared to $133.9 million in the fourth quarter of last year. The increase included $6.4 million contribution from our acquisition of Lioli Ceramica. On a constant currency basis, fourth quarter revenue was lower by 0.4% compared to the same period last year, primarily due to pandemic-related business disruption, particularly in the Americas region, partially offset by the contribution from Lioli acquisition as well as growth in all other regions.  In the Americas, constant currency sales were down 12.7% as pandemic-related restrictions continue to have ongoing impact on business activity. In the U.S. and Canada, our business performance continues to be impacted by lower sales at IKEA stores. This factor accounted for roughly 40% of our North America sales decline in the quarter. This impact to the big box channel was partially offset by increased activity at U.S. Home Depot stores, which was better than our plan.  While core sales were lower year-over-year, we are encouraged by the sequential improvement. Furthermore, we are seeing faster recovery where we have a direct presence, which gives us confidence in our indirect channels as demand continues to ramp up. In the APAC region, constant currency sales were up 17.5%. Australia accounts for the majority of our sales in the region, and performance has been better than our expectations, helped in part by government stimulus actions. In addition, the contribution from the Lioli sales in APAC were included for the first time in the region sales.  In the EMEA region, constant currency sales grew 45.8%, primarily reflecting pent-up demand following the rigid lockdowns earlier in the year in both our direct and indirect markets, in addition to the contribution from the Lioli acquisition of sales in the region.  In Israel, on a constant currency basis, sales were up 9.4% in the fourth quarter. Looking at our fourth quarter P&L performance, we were pleased to improve our fourth quarter margin on a year-over-year basis. Our operating results continue to benefit from our focused execution of initiatives to improve efficiencies across our business.  Adjusted gross margin improved to 120 basis points to 28.6% compared to 26.4% in the prior year quarter. The higher year-over-year adjusted gross margin mainly reflects the improved product mix, lower raw material costs, more favorable currency exchange rates and improved efficiency, partially offset by lower sales volume, lower sales prices and less favorable regional mix.  It is important to note that in the fourth quarter of 2020 and 2019, we operated our production facility that's less than a full potential and that was a significant drag on our gross margin.  As a reminder, in the first quarter of 2020, we were operating at the higher capacity utilization. And in turn, we expect gross margin in the first quarter of 2021 to be lower year-over-year. Excluding legal settlement and loss contingencies, operating expenses for the quarter were 21.2% of revenue compared to 20.4% in the prior year quarter. The increase was in line with our expectation as we returned our investment in sales and marketing to more normalized level to support our brand and future growth, following two quarters of significant cost cutting.  Adjusted EBITDA in the fourth quarter increased 19.1% year-over-year to $18.8 million, representing a margin of 13.7% compared to $15.7 million or margin of 11.8% in the prior year quarter. The 190 basis point improvement primarily reflects the higher gross margin compared to last year. Adjusted diluted earnings per share in the quarter were $0.05 compared to adjusted diluted earnings per share of $0.16 in the same period last year on a similar share count.  Now looking at our full year financial performance highlights. Sales for the full year were down 10.9% on a constant currency basis, sales were off by 11.1%. Our focused execution to improve efficiencies and lower raw material input costs led to annual growth in our gross margin and adjusted EBITDA margin. Adjusted gross margin was 27.7% compared to 27.3% last year. The higher adjusted gross margin mainly reflects improved efficiency, lower raw material cost and improved product mix, partially offset by the impact of lower sales volume, lower sales price and less favorable regional mix. Operating expenses, excluding legal settlement and loss contingencies were 21.6% of revenue compared to 20.4% in the prior year, primarily due to lower revenue. Our full year 2020 adjusted EBITDA was $62.1 million, a 12.8% margin compared to $69 million last year, a 12.6% margin with the year-over-year margin improvement, primarily due to higher gross margin. Adjusted diluted earnings per share were $0.48 compared to $0.77 in the prior year mainly adversely impacted by foreign exchange rate changes.  Turning to our balance sheet. We completed the acquisition of Omicron on December 31, 2020. We acquired the company in consideration of approximately $19 million, while assuming $8 million of net debt.  On a pro forma basis, Omicron was profitable and would have contributed over $50 million in revenue to the company's 2020 results. Caesarstone's strong balance sheet enabled us to successfully weather the challenges of 2020 and to further invest in our future growth. Our prudent effort to control costs, manage our production capacity and working capital and improved operational efficiency during 2020 helped us generate strong cash flow from operations of $48 million during the year.  Our balance sheet, as of December 31, 2020, included cash, cash equivalent and short-term bank deposits and short- and long-term marketable securities of $133 million, with total debt to financial institutions of $23 million, providing us a solid net cash position of $111 million. This strong balance sheet leaves us confident that we can execute on our plan in 2021 to produce strong long-term returns for our shareholders.  Moving to our outlook. We anticipate 2021 revenue and adjusted EBITDA to be higher year-over-year with expectation that revenue will grow faster than EBITDA in 2021. This outlook assumes a similar gross margin compared to 2020 with higher revenue impact offset by higher shipping and raw material costs. In addition, we expect to return to more normalized levels of sales and marketing expenses to support sales growth. Furthermore, we temporarily reduced or delayed significant costs during 2020 due to pandemic-related impacts, which will now return. Our outlook assumes that pandemic-related business restrictions will fade as the year progresses.  In the first quarter, we expect revenue growth to be driven by the contribution of acquisition followed by a return to organic growth beginning in the second quarter of 2021. We are pleased to be focusing on growth and making the right investment to not only support expansion in 2021, but also position us as a leaner and faster-growing company beyond 2021.  With that, let me turn the call back to Yuval for closing comments.
Yuval Dagim: Thank you, Ophir. In conclusion, I'm extremely proud of the Caesarstone for their unwavering commitment to transform our business and improve our results. Our success in the fourth quarter closed out a year that demonstrated significant progress since we first introduced our global growth acceleration plan in 2019. Since that time, we have fostered a more productive corporate culture, improved our competitive positioning and broaden the reach of our addressable market.  We have utilized accretive M&A as available lever for growth to expand our presence and offering now as a leading premium, multi-material countertop company.  As we move into 2021, I'm confident with our strategic plan, which will ultimately create positive long-term outcomes for our business. We look forward to updating you further on our progress next quarter. Thank you, and we are now ready to open the call for questions.
Operator: [Operator Instructions]. Our first question come from the line of Reuben Garner with The Benchmark Company.
Reuben Garner: So maybe just first, a clarification question about the fourth quarter P&L. The finance charge that you had below the line, it said it was predominantly related to exchange rates. Can you just tell us what that was and how it works and what to expect going forward?
Ophir Yakovian: Reuben, it's Ophir. It mainly relates to the weakness of the dollar against the Australian dollar and the Israeli shekel this is -- I mean, assuming that there won't be any major fluctuation in countries, we don't see that as something that will recur. This is revaluation of some balance sheet item, mainly lease liabilities that created its charge, which is a one off thing assuming we will not see a fluctuation. It's, of course, noncash charge.
Reuben Garner: Okay. Perfect. That's all I needed to know, that makes much more sense. So I guess, looking at your -- congrats, by the way, on the close of 2020, nice results.  Talking about your outlook, is there any more color you can give on kind of the puts and takes, the revenue growth and EBITDA growing lower than revenue comments.  I think those both make a lot of sense. Can you give us some more color on what that -- at least the organic revenue growth profile might look like? And then maybe which markets are going to be growing faster and slower than kind of the company average overall?
Yuval Dagim: Yes, I will start, and Ophir can add some more colors at the end of my sentence. First, I think the 2021 will be the first year when we see some of our new growth engines under the 3 pillars of the strategy come into play and if you remember those 3 pillars, we talked about the multi-material strategy, the go-direct and footprint expansion, and the last one, is the customer engagement. And what we will be experiencing in 2021 is Lioli M&A being fully part of our business for the full year. And I guess the latest M&A Omicron, now as we had it only on December 31 last year, going to be full year part of our business.  So this will be the first -- like the first year when we are moving full steam ahead with the execution of our strategy. Obviously, when COVID-19 hit beginning or end of last -- end of the first quarter last year, the major growth will be happening in our company from the second quarter this year onwards.  Yes. We expect -- I mean, the third quarter growth will be driven by the acquisitions. We still see some business disruptions from COVID-19 in certain areas in Israel, in Canada, in the U.K. and in other areas. I can say on the -- for the full year, we expect the gross margin to be similar to 2020, we see some volume as a positive driver for that, but we see higher shipping costs and raw material prices that are kind of a headwind that we are seeing coming. And in terms of operating expenses, we're going to move to a more normalized level of operating expenses, and we have some additional OpEx coming from the 2 recent acquisition, and this is the reason we said that we expect to grow both EBITDA and revenue this year, but the revenue growth will be higher than the EBITDA.
Operator: [Operator Instructions]. Our next questions come from the line of Asaf Chandali with Oppenheimer.
Asaf Chandali: So congrats on the really solid results, despite the challenging backdrop. Maybe if we can just start on Lioli. Revenues during the quarter were $6.4 million. Thank you, by the way, for reporting them separately. It's very helpful for us in modeling.  If we annualize that, reflecting really nice growth versus the previously reported annual revenue number, if I'm not mistaken, I think it was $18 million. Prior to the close, it's a relatively small number for now as we compare it with the full year kind of consolidated number, but how should we be thinking about the growth rate within the business?
Yuval Dagim: Asaf, obviously, the Lioli deal is opening new addressable market for us. And it is important to know that we are planning to take most of the volume from Lioli, the Lioli plant in India to serve our content of markets. And this is not during the current stage of the company.  So at the moment, most of this revenue is devoted to flowing and clouding, but as we -- as all our go-to-market if you like the right to win for us, is around the countertop application and where the higher margins are, we intend to take most of the volume to this application.  Obviously, 2021 is a transitional year when you see both of those revenues. But in terms of the Lioli plant, we have onelined them and this is pretty much the revenue that we're expecting to get from the plant itself.
Asaf Chandali: Okay. Okay, great. On gross margins, they were really quite strong in the second half of 2020, even after we neutralized some onetime items in the third quarter, how should we be thinking about the gross margin profile in 2021? Any puts and takes there? Or how you think it should kind of develop from 1Q '21 into 4Q '21 would be helpful for us? Do you still expect -- you still feel confident that the strength we saw in the second half of 2020 is going to take us closer to the 30%-plus number, that's the long-term target.
Ophir Yakovian: First, our long-term term target is still valid, and we do aim to 32% to 35% as a long-term target. 2021, we believe, will be similar in the gross margin to 2020. We have -- expecting higher volumes, obviously, the logistic cost will be lower on a cost per unit basis. But on the other -- on the flip side, we have inflation in raw material prices that we are seeing and shipping costs which is something that is pretty significant what we see in the coming -- in the past few weeks.  The first quarter, we expect a lower gross margin year-over-year because we are utilizing our factories less than we've done in the prior quarter. So that -- but that will change over the year and the gross margins should improve with the revenue growth as we progress in the year.
Asaf Chandali: Okay. Great. So turning to Omicron, I guess maybe I can even kind of fit in a related gross margin question. Number one, can we expect to see separate segment reporting? Number two, how are you thinking about the gross margin impact on the consolidated numbers? I hope you guys will report something separate because there will be kind of a meaningful part of revenues, and I imagine it's a headwind to consolidated gross margins.  And then maybe if you just want to take this opportunity to kind of talk to us about how you plan on integrating Omicron into the General Global Acceleration strategy?
Yuval Dagim: Sure, Asaf. The Omicron acquisition is a bolt-on acquisition in executing our strategy of one of the pillars, actually two of the pillars, which is, first and foremost, extending our footprint and more go-direct or closer to our customers. And the other one, which is very much in line with the portfolio of Omicron is the multi-material strategy. So we are introducing to our business now a business, the Omicron business, which has also natural stone and porcelain as part of it. Obviously, porcelain in the future is going to be coming from us directly once we'll be launching later this year our very impressive new collection in porcelain coming from Lioli naturally. And the natural stone business will be an integral part of our portfolio going forward in the U.S. So the Omicron deal is improving our footprint dramatically. We had no presence when this in distribution centers, of course, in the Florida region and Ohio Valley. And now with Omnicom, we have an additional 17 locations with very nice proximity to our customers and to the market.  So all in all, it is a bolt-on acquisition. We will not be going forward reporting that separately as it's going to be part of the Caesarstone regional structure, if you like. And that mainly reflects also on the integration that we are waking on, which will be a full integration of the business into Caesarstone.
Asaf Chandali: Okay. Great. And I guess maybe just last question from my end before I jump back in the queue. I'll ask one question that nobody has -- any others. But how should we be thinking about this kind of direct sales strategy being on the ground? Should we expect this to continue? Should we expect other deals or other actions from the company similar to Omicron?
Yuval Dagim: Obviously, Asaf, we are looking on more businesses that can help us to speed up the execution of our strategy. We laid out our strategy very clearly. We -- there's no hidden [indiscernible]. So other businesses that can be part and becoming an integral part of system should be considered. And that will be -- kind of looking at the market will be an ongoing effort from our side.  In addition, we also are working quite intensively on the last pillar in the strategy we haven't mentioned which is a part of our go-to-market capabilities through customer engagement and on that, we will be launching a new platform, which we call CS Connect, to help our business partners, especially Camille studios to manage the consumer purchase journey and to make sure that -- on their side, they have the higher conversion rates; on our side, we get better loyalty and engagement with our customers.
Operator: Rejoining the queue is Reuben Garner with the Benchmark Company.
Reuben Garner: Sorry about that, guys. I don't know what happened there. I got kicked off. But just -- I had a couple more. Back to the outlook on '21, maybe ask it this way. Do you think you can get back to 2019 -- 2018, 2019 revenue levels this year. Obviously, '20 was impacted by shutdowns, especially in the middle part of the year.  And hopefully, as we progress through the year, those are no longer there. Is that a reasonable way to look at your business, do you think you can get back there, I guess, first organically? And then second of all, maybe remind us what those 2 acquisitions are expected to add from a revenue and profitability standpoint, I think they're both seem to be accretive? Can you just kind of give us what the expected accretion is from the deals?
Yuval Dagim: We don't have the -- we are not servicing or disclosing the breakdown, but obviously, we are expecting to be altogether with a revenue higher than 2019 and 2018 altogether. We'll see -- the COVID-19 environment is still around and we see it in the first quarter. So I think it's a bit too early for us to disclose a full breakdown of the revenue. But as the year progresses, we will see where it goes. We believe that the increase of the growth in 2021 is going to be significant.
Reuben Garner: Okay. And then on the sales and marketing side, I think you referenced that you got back to a more normal level in the fourth quarter. Did I hear that right? So is that in terms of dollars, so the $18 million in marketing and selling expenses? Is that a reasonable run rate for going forward? Or do you think that there would be more to go on that, that it's going to be moving even higher from here?
Yuval Dagim: I think looking here on the previous years that it will be a good reflection of where we are heading with our cost on sales and marketing. Obviously, as we are progressing with our Global Growth Acceleration Plan, more and more projects are coming to fruition, and we implemented them or executed them in the market.  So those new growth engines are coming also with some support behind them. But the pace of investment and the pace of launching those new projects will be entirely to our decision to see if the markets can accept those. And the benefits in our revenues and profits are coming in line with our expectations.  So we will be dealing with S&M spend very much as we have done in the last 2, 3 years, very close management of the spend and with a very good control on that.
Reuben Garner: Okay. And then you'd mentioned material and shipping cost inflation. I guess, the shipping part is definitely understandable. What materials are you seeing inflation in? What kind of percentage are we talking about? And then what's the pricing environment like this year? I'd imagine you're not the only one seeing inflation. Is there any expectation that you can get any price to offset the higher cost?
Yuval Dagim: It's a bit too early, Reuben, to note specific price increase in raw materials. We still have some deals that are going forward from previous year to this year, so it's a bit too early, but we do see the vibes in the markets.  We are preparing our business to bring some greater efficiencies to offset any price increase that we might have in the market. Obviously, the shipping cost is already a part of our business environment, and we are now shipping goods and raw materials to the plants and goods from the plants to the markets at higher cost. I think this is something that many global companies are now experiencing with.
Reuben Garner: Okay. And then last one for me. I want to -- thinking that the U.S.A. portion of the Americas market, kind of coming back a little slower than I would have thought. Is there something specifically going on there from a comps perspective? I understand the shutdown impact and all of that. But I assume a portion of that business is new construction, which is doing pretty well here in the States and then even the repair and remodel markets broadly have been getting better. Can you just talk about what you're seeing there and maybe what specifically your outlook is for the next couple of quarters in that market from an organic perspective?
Yuval Dagim: In the U.S., I think the major impact at the moment is, I guess, around our exposure to IKEA. We have an exclusive deal with them. And as they are coming back to the market, we will see some greater growth in the coming quarters.  In Q4, it was still IKEA -- our sales to IKEA was still behind our expectations, but they are improving gradually over the last few weeks. So I think the major impact will be that and some exposure to -- in our non-direct markets when we have less presence of direct Caesarstone increase -- obviously the -- in business. Obviously, the acquisition of Omicron is part of the remedy to the situation, and we are moving more directly in more regions in the U.S.  So over the next few quarters, you'll see us, I guess, closing the gap and continuing faster -- demonstrating faster growth in the U.S.
Reuben Garner: Great. Congrats on the end of 2020. And good luck this year.
Operator: There are no further questions at this time. I would like to turn the call back over to Yuval Dagim for any closing comments.
Yuval Dagim: Thank you for attention this morning. We look forward to updating you on our progress next quarter. Thank you very much.
Operator: Thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time. Have a great day.